Operator: Good day, ladies and gentlemen. Thank you for standing by. And welcome to the Gorilla Technology Group Fiscal Year Ended December 31, 2023 Earnings Conference Call. Currently, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instruction will follow at that time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now, I'll turn the call over to Mr. Cody Fletcher of the Blueshirt Group. Mr. Fletcher, please go ahead.
Cody Fletcher: Thank you, and good morning, everyone. Thank you for joining us on today's call to discuss financial results for the full year of 2023. Gorilla released these results before the U.S. market opened on Thursday, April 4th. The release is available on Gorilla's website and from Newswire services. With me on the call are Jay Chandan, Gorilla's Chief Executive Officer and Chairman; and Daphne Huang, Gorilla's Chief Financial Officer. Jay and Daphne will make prepared remarks, then we will have a question-and-answer session. If you have any additional questions, please send them to gorillair@blueshirtgroup.co, and we will respond as soon as possible. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our plans, objectives, growth and expected performance, including our outlook for the fiscal year 2024 and beyond, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are our outlook only as of the date of this call. While we believe any forward-looking statements we make are reasonable, actual results may differ materially, because the statements are based on current expectations and are subject to risks and uncertainties. We do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether because of added information, future events, or otherwise. Further information on these and other factors that could affect the company's financial results is included in filings we make with the SEC from time-to-time, including the section titled Risk Factors in the company's form 20-F previously filed with the SEC. And now let me turn the call over to Gorilla Technology's CEO and Chairman, Jay Chandan.
Jay Chandan: Thank you, Cody, and thank you everyone. Good morning for joining us today. First of all, I want to thank everybody for taking the time to listening in into this conference call today. This past year has marked a transformative era for Gorilla, distinguished by record-breaking accomplishments and a clear demonstration of our unmatched innovation and unwavering determination. Now in 2023, we didn't meet just meet our financial goals. We far exceeded them. Now that is also launching helping launch Gorilla into a league entirely of its own. But this year wasn't just about financial achievements. Now it was a testament to Gorilla's resilience, innovation and more importantly our unwavering commitment to our vision. We have defied expectations not by chance, but through a strategic orchestration of our resources, a deep understanding of our market and an unparalleled drive to innovate. Now, I always quote the saying by James Watkins and this lies in the heart of everyone at Gorilla today. A river cuts through a rock, not because of its power, but because of its persistence. And at Gorilla, we are truly persistent. Now our story is actually built on three foundational pillars, relentless innovation, strategic market expansion and our commitment to customer success. Now let me kind of discuss and give you a little bit of an outline on each one of these. Firstly, relentless innovation is something I talked about. At Gorilla, innovation is not just too significantly enhance our product offerings, but it's not just a buzzword. It is also to build upon what we offer, taking into a burgeoning demand for AI, IoT and cybersecurity solutions. Our R&D team has worked tirelessly to ensure that our technology not only meets, but exceeds the evolving needs of our clients, setting new standards in the industry. Second, I talked about strategic market expansion. Our remarkable revenue growth is a direct result of our aggressive yet thoughtful market expansion strategies. Now we have actually entered new geographies for strategic partnerships and diversified our client base, which has not only amplified our market presence, but also fortified our revenue streams. Now this calculated expansion has allowed us to tap into unprecedented opportunities and cater to a broader spectrum of our needs. And finally, when I talk about commitment to customer success, this is at the heart of Gorilla's achievement where what lies is that unwavering commitment to our customers. Our growth is a reflection of the success we've been able to drive for our clients. By aligning closely to their objectives with their objectives, we have not only earned their trust but their loyalty even, which has also been instrumental in our recurring revenue and our impressive sales pipeline. Moreover, we've actually continued to capitalize on the demand of AI, IoT and cybersecurity solutions in our areas where R&D efforts and business operations have yielded significant advancements. This commitment to innovation has not only fueled our revenue growth, but has also announced that operational efficiencies leading to a dramatic turnaround in profitability. Now, before I go on, I'd like to hand this over to our CFO, Daphne Huang, who will add a little more color to our financial results. Daphne?
Daphne Huang: Sorry, guys, for the delay. I was having issue unmuting. Thank you, Jay. Driving deeper into our financial performance, our revenue grew to $64.7 million a historical high for the company that reflects our strategic foresight and operational agility. This exceptional year-over-year increase of 189% is a direct result of our global expansion strategy, our debt execution of key projects, our industry leading products and our focused project management capabilities. Moreover, our ability to identify and seize high margin opportunities and rapidly scale our operations to meet market demand has played a pivotal role in our growth trajectory. Our gross margin for the year improved significantly to 69%, up by 32 percentage points from the previous year. This is a direct result of our improved sales structure as our system integration service is by nature a higher margin business. Furthermore, our ability to swiftly establish a cost center in other low cost regions such as India and Egypt, enables us to optimize labor cost while staying proximate to our clients for prompt responsiveness. We're also delighted to report a net profit of $19.9 million for the year, which also marks the first time Gorilla report a profitable full year result since the de-SPAC primarily due to higher sales conversion rate, our disciplined financing approach and improved operational efficiency. We also fully depreciated most of R&D equipment in 2022 and considering the one-off expense from stock lifting in the same year won't be a part of the P&L going forward. We expect our future profitability to continue to benefit from efficient operating expense control, boding well for the bottom line. Our adjusted EBITDA stood at $29 million, a reflection of our operational efficiency and our disciplined approach to expense management. This represents a 587% increase over the previous year, highlighting our ability to drive profitability while investing in growth initiatives. 2023 was a year marked by high inflation and high interest rates, posing many challenges for small cap companies striving to achieve business expansion at comfortable labor and borrowing costs. Gorilla successfully achieved that goal, thanks to our strong cash position and agility to venture into new markets with more cost effective operational centers, providing us with the flexibility to pursue strategic growth opportunities and further enhance shareholder value. Looking ahead to 2024, our financial priorities will be continuous operational efficiency management, while driving our top-line growth. We have a deep pipeline and promising sales leads in markets with robust demand for smart government projects. We will aim in high growth opportunities while also guarding our profitability through active expense control and financial oversight to ensure we are well-positioned to navigate future market dynamics with confidence. Now, I hand it back over to Jay for closing remarks. Jay?
Jay Chandan: Thank you, Daphne. Now all of you have actually heard from Daphne about our numbers, exciting as they may be, I think the future bodes well for the business. But this year is not merely about financial achievements. It represents a significant leap beyond the bounds of skepticism underscoring our strategic foresight and signaling to our investors that they are at the forefront of a transformative era. Now, Gorilla Technology is not merely participating in this evolution, we're actually spearheading it. Now our commitment to this path is evident in the array of strategic partnerships we forged and we continue to cultivate. Our footprint is expanding highlighted by our recent ventures into MENA region with the establishment of our operational hub in Cairo. We want to be at the forefront of AI and cybersecurity innovation, meticulously designing custom hardware components to precisely fit our customers' unique requirements. And in collaboration with Lanner Electronics, we're also setting industry gold standard by delivering tailor made AI enhanced cybersecurity solutions that ensure unparalleled security and resilience. In Thailand, we made strides with the prestigious hospital integrating our video management system and intelligent video analytics solution thereby setting new standards in security convergence for healthcare institutions. Moreover, our partnership with Protactics in Colombia that actually marks a significant step towards bringing our advanced security convergence and smart city solutions to new markets. Looking ahead, our direction on an unequivocal, our dedication to investing in tomorrow's technologies, broadening our market presence, and unwavering promise to deliver unmatched value to our client's remains at the core of our strategy. We stand not at the cusp of just sustained success, but of defining the future landscape of innovation. Now, we've talked about this many times. We built a pipeline surpassing $1 billion and our ongoing strategic expansions we have geared towards achieving remarkable milestones. I extend my heartfelt thanks to our entire team at Gorilla, every single investor of ours and our Board for their pivotal roles in their extraordinary journey. Our narrative is one of overcoming not only the challenges before us but transcending the traditional boundaries of possibility. As we advance, propelled by our accomplishments and our collective ambition, my confidence in Gorilla's cape capacity to pioneer new frontiers of innovation and success has never been stronger. I express my profound appreciation once again to our dedicated team whose expertise and diligence form the bedrock of our success to our valued clients who've stood by us to thick and thin, for their trust and partnership more importantly and finally to every single investor of ours whether you're on this call or not today for their steadfast support and confidence in our vision. Together, we've not merely scaled new peaks, we've laid the groundwork for an era marked by unparalleled growth and innovation. Thank you all once again for joining in today. We're truly thrilled about the journey ahead and eagerly anticipate sharing our ongoing developments with you. I'll hand it over to Cody.
Cody Fletcher : Thank you, Jay, and thank you, Daphne, and thank you to everyone for participating in today's call. Now, I'll hand it over to the operator, for our question-and-answer session. Operator?
Operator: [Operator Instructions] And your first question comes from the line of John Roy from WTR.
John Roy: So Jay, in terms of competitive positioning, I mean, obviously there's a lot of players out there. I'm curious to where you see you are now? And what are your plans to enhance that in the future?
Jay Chandan: Hey, John. Good to hear from you. It's a good question. So, we believe that we are in a state of disruptiveness today, and we see that everything around us is being transformed. Whether we work, the way we work, the way we communicate, the way smart cities are built, the way smart cities are being thought of today. Now most people look at it and say, hey, smart cities. It's a very simple concept. That's great. But what is it we can we do? What is it can you do specifically for us? What we are doing today is we are actually creating an ecosystem, which we can help our customer. Now think of us, as whether it's smart city, smart energy, smart transportation, smart retail or including, safe cities as we call it, our aim is to create what we call an ecosystem or a platform-as-a-service. And to do that, we've been focused on three very important aspects. Data intelligence, video intelligence and security convergence. Now in each of these segments, we have been absolutely focused on building solutions so that we can provide us the support to our customers. Now if you look at the on the IT, OT side, we have been creating technologies across various application layers including your vulnerability scanner, your audit logs, your accountability, your API securities, and so on. And we've built a framework for our smart cities and safe cities. So think of us, as building multiple layers on what we call smart layers, smart solution layers, application layers, your network layers, your control layers, and your perception layers. Now the second part of this is where we actually focus on creating an infrastructure. And the infrastructure we are creating is built around technology. We're working very closely with what we call smart cities today to do three very important things. One is to improve the quality of life through our solutions, create a local economic competitiveness, and finally, provide a sustainable living. Hope that answers your question.
John Roy: Yes. Great. Kind of as a follow on to that, what are the customers' pain points? What are their emerging trends? What are they really asking for, yeah, recently?
Jay Chandan: Well, so today, the increasing threat again, I touched upon, you know, the whole security convergence. Let me kind of give you a kind of an overview of this. The increasing integration of these environments today and networks around what we call Internet of Things or Operational Technology has made it easier for all these threats to move across the environments. Now the threat posed by such a movement can result in breaches and loss of control over in a different environment. Now simply, when I wake up in the morning, I'll give you an example of a customer who woke who called me on Tuesday of last week. They talked to me about, Jay, I have got some very serious issue because I don't seem to have visibility into my network activity across all my different networks. I need you to help me come and harden that infrastructure. That's one issue somebody's come up with. The second one, someone has come back to me and said, hey, my OT needs a lot more control. Do you have security around the OT side of it? Can you help me create asset inventories, risk assessment, control and authentication, endpoint detection, and so on and so forth? Now other customers have other issues. For example, there's a project we're working on with one of the customers, in Asia, which is focused on 5G, lawful interception. They are worried more about how can certain authorized authorities perform interception of communication traffic for very specific users including, let's say, activation, deactivation, interrogation procedures, and so on and so forth. And on the other side, we've talked about this, to pillar the post, where we call well, the Air Gap Network project right? It's about creating complete isolation between two networks so that there can be no malicious actors across the region. So each customer has a unique pain point today, and the benefit of someone like Gorilla is that we provide a consultative approach, and that consultative approach has really brought us up that radar. People have come to us and said, I like what you're doing. Can you stay with me and hand hold me to the process of what we call our digital journey? So that's kind of the high level, issues we're seeing today.
Operator: Your next question comes from the line of Mike Latimore from Northland Capital Markets.
Mike Latimore : I guess, obviously, you're just a big customer here. Can you just talk a little bit about what you deployed or what were the services in Egypt in 2023? And what are the kind of key things you expect to do for Egypt this year? And then, how much control you have over kind of those next stages versus having to rely on I don't know, third-parties or Egypt itself to provide a resource to get some of these things done.
Jay Chandan: So what we are doing in Egypt today is actually building an Air Gap Network for the government. Now, I'm not sure how many of you are familiar with the Air Gap Network. So if I may take indulge about 10 seconds of your time. And Air Gap Network typically, is what we call the connection between your computer and your networks. Now since, obviously, the computer is directly not connected to the network, it cannot be hacked. And so what happens at that point of time is that the concept behind it is to provide complete isolation between two networks, as I said previously, so there are no malicious actors which can access sensitive information on one system while being connected to another system. Now this type of security measure has been there for decades. We use -- we have military government organizations using it. But now we are looking at organizations such as life critical systems with using medical equipment. You've got nuclear power plant, aviation computers like your FedEx and avionics. You've got military computer systems and networks. You've got your industrial control systems, such as SCADA, for example. Then you've got your payment networks for your debit card and your credit card transaction, which most people are familiar with. Then you've got your government computer systems or financial computer systems as well. Now what we have done to date is we have provided the government with -- we've completed the proof of concept, we've completed the design stages, and we're now in what we call the deployment phase. And this is very key because we have already now tested some of the equipment out and some of the networks out. They seem to be working perfectly fine. So we are now testing out the larger scale of the equipment, and that's going to be a 2024 episode. This year will all be about, bringing in all the hardware, testing all the software we've already built and procured and connecting them. But when you talk about the broader market, you know, Egypt is not just a single market for us. If you look at Gorilla today, we've expanded over and beyond just a single country. So I don't want people to think of us as a one trick pony. We are now, as you've seen, signed up with the governments in Colombia. We have signed up with in governments in Thailand. We are very actively pursuing much larger deals in other regions where people and governments have come to us and talk to us about how we can help them support and sustain growth in their smart city infrastructure. Now, whether it's video analytics, whether it's infrastructure, more importantly, whether it's your AI, or your safety. Now each of these agencies or countries have come to us with a different requirement. Some of them have come to us with increasing operational efficiency. So for example, if you're looking at the Taiwanese, they're looking for operational efficiency because some of these technologies are already implemented by Gorilla over the last 10, 12 years. Some of them are looking for safety. Whether it's data driven analytics or high end data protection. Some of them are looking for real time responses. Whether it's via ADO, IoT, whether it's security, real time control and command, and so on and so forth. Others are looking for energy conservation. Whether it's smart buildings, dashboards, decision making support, and so on and so forth. So but the common theme for each, each of them, each country we go into is the social, economic and environmental. And we call them the SEE or the SEE. When we go in, every customer has the same three pain points, and that's what we believe is going to make Gorilla very unique. And the other, one of the other salient features or one of the other features about Gorilla is that we are willing to get out of bed for simple proof-of-concepts. We want to make sure that the stakeholders are heroes in front of their board or their financing committees. We want to make sure that they win and we win along with them. And I know it’s cliche, but it's a win-win situation. It's a win-win situation, really. And that's what kind of drives Gorilla could drive every person in Gorilla, and that also brings customer loyalty. I hope that answers your question.
Mike Latimore: And then just, basic question, like, how many employees do you have and where do you see that where do you see headcount going by your end?
Jay Chandan: Nearly 200 today. As you know, we've been through -- some through a process last year, but we see that growing very quickly. Now Daphne touched upon a very, I think an expansion plan into India, Egypt and other regions. Now whilst we have made Cairo our hub for what we call, both our manufacturing side as well as our services side. We're also expanding very rapidly in India. So in India, initially, it was only the customer success team. Our CTO, Dr. Rajesh, has actually been to India recently. He's building up an R&D team there. We were zero until September of last year. We are nearly about 30 to 40 people now. By the end of this year, we look to be growing to nearly 200 people in India, and about another 50 people in Egypt. That is excluding all the other manufacturing processes we have set in Egypt along with our partner, Lanner. So that will, that would include probably another 150 to 200 people through our partner network as well, Mike.
Operator: Your next question comes from the line of Brian Kinstlinger from Alliance Global Partners.
Brian Kinstlinger : Can you provide some more detail around the pipeline, maybe average deal size, maybe the number of programs you're tracking or competing for? And then I'm curious, how capital intensive are these programs upfront and does your balance sheet impact in any way what you're bidding on today as a result?
Jay Chandan: Well, we are truly excited. Listen, there's a lot of chatter with our $1 billion pipeline is real and so on and so forth. But let me absolutely ascertain everybody on this call and outside. Our pipeline is real. We are working very hard. So much so, I haven't seen my family in months. We're all working very hard. Now, if you're asking me what that pipeline looks like today. Unfortunately, I won't be able to give you an average deal size because let me give you an example. Some of them are proof-of-concepts. So in some of the emerging economies, especially South America, Northern Africa, and some in Middle East, we have some proof-of-concepts which are ranging between $0.1 million and a $1 million, but that's not our pipeline. But when I've completed the proof-of-concept, these projects are between, let's say, $10 million and $30 million. That said, we are also being invited in some very, very large deals. Without giving you the names of the regions, some of the average deal size in the large category are between $80 million and $200 million. We have a couple of very large deals, which are still not in the pipeline, by the way, because we're still cooking it or it's still kind of, early stages of cooking it. Those are between $250 million to $750 million each as well, and that's not in the pipeline. We believe that's a that probably will come into a pipeline by the end of next year. Again, because a lot of these are proof-of-concepts. Remember, the important issue we have today is that all these smart cities have been burnt before. They had some very capital intensive, strong infrastructure building buildups, which have actually turned out to be pretty much garbage and then there have been very little less utilization. And now they are very reluctant to spend huge amounts of money. So they are coming and saying, can you show me if you can do a small project in a small place? For example, this is not [NPI]. We can talk about the Casanova project in Colombia. Casanova is a small region with 450,000 to 500,000 people. It's a test bed. So once we test it out, we could potentially roll it out across Colombia. Much larger country. We could do the same in other countries like Brazil, Chile, Ecuador, and so on. And then we could replicate that across Egypt, Northern Africa, the Middle East, and big countries like India, which have a population of little over 1.5 billion. Now the second side, the second part of your question was is how capital intensive is this? When I'm doing proof-of-concepts, these are not capital intensive. We've got the resources. We've got the technology. We have deep partnerships. As you've seen, we've signed up with Redhat and Lanner and all the good stuff. But when we go into project mode, and a week today can sustain projects between, let's say, $5 million, $10 million, $15 million, that's easy on a balance sheet through a balance sheet. But when I go into much larger projects, and we talked about the ones which are $30 million to a $100 million or anything between $75 million to $100 million, that is going to require us to go to the market to raise more capital. I hope that answers your question.
Brian Kinstlinger: Yes. Perfect. And so then how many $80 million to $200 million programs are represented in that pipeline? And then what's your sense for how long the sales cycle for these larger programs will be? And maybe how long the proof-of-concept in general at average?
Jay Chandan: It's a good question. So let me break that down into three parts for you. The first part is proof-of-concept. Now these proof-of-concepts typically have money allocated to them or budgets allocated. So these are pretty much can be done ASAP. It's an -- it's a discussion between us and the customer. The customer falls in love. We have their, our honeymoon period, our romance period going on. We get engaged. Thank you very much. Right? These budgets are anything between, let's say, $100,000 to sometimes $0.5 million. Now the second part and the sales cycle for this is pretty much anything between a week to couple of months. The second part of it is that some of them just don't want to do the proof-of-concept. They want to actually sign up to what we call a test case. Now a test case would be something like what we've done in Colombia, where we are working on a smaller region, a county, or a region such as Casanova, which has about 0.5 million to 1 million people. That becomes a good test bed for us to test out some of the technologies and beat out some of the errors which come out of the system. That typically takes anything between 2 months to 6 months. And these budgets range between, let's say, $1 million to about $10 million. Again, these budgets are allocated. The government departments are grounds rate and a county departments of grounds rate, they have an allocated budgeted. The larger projects which are let say to $10 million to $100 million projects, they typically take anything between 3 months and 12 months. And these actually don't have a budget, but they have a mandate from the government. We typically do not get into a fishing exercise, and I'll be very clear about that. We do not get into bits. We don't like bits. We don't like fishing ideas or expeditions where people come and say, oh, let's think about this. Why don't you give us some ideas? Throw some, white paper our way. We will consider you for that process. Absolutely not. Thank you very much. Goodbye. That's how we are. Now when the customer calls us, we know we are one among the 4 people he selected on this particular journey. So when I know that I'm one of the 4, I allocate 25% of my time to that. When I say 25% of my time, I mean the company's time to that or the project time to that. But when you go into such deals, you have to spend a lot of time. Typically, when I say between 3, 2 and 12 months, anything which is beyond the 12 month period, I directly get involved in it, because here, the customer needs a lot of hand holding. We have to go through various cycles of government approvals, passing of the bills, budget approvals, then making sure that the ministerial approvals are taken into consideration and so on and so forth. I work very closely with all the government bodies to make sure that we are able to deliver. And typically, those take anything between 12 and 24 months. Hope that response to your question.
Brian Kinstlinger: The gross margin in the second half of 2023 was quite impressive and much higher than I would have thought headed in. Can you discuss the mix of revenue that drives that? And then how we should think about mix and gross margin in 2024?
Jay Chandan: So today, this year has been an exception for us. Our gross margins were high, because we did a lot of what we call software development work. We've done a lot of our work through services for the customer. We have also made sure that a lot of the products we've built for the customer has gone through a variety of testing and that has, what we call as we call being done both by on-site and off-site work as well. And because we've used a lot of the offshore resources, that has allowed to increase our gross margins. 2024 is going to be -- we're forecasting between 30% and 40%. We want to be at the 40% gross margin levels. Why? Because our aim today is to make sure that the products we deliver from what we've already built is going to be spick and span for the customer. We also want to make sure that every single hardware component we build, and we deliver for the customer is going to be ready and deployed and that I believe will take some time and that's why we've kind of we're forecasting on a 40%-ish gross margin. I'd love the gross margins to be much higher. But that said, we will remain EBITDA positive, and we will absolutely be cash positive in 2024.
Brian Kinstlinger: So just to just to make sure I understand, in second half of 2024, there was a bit more software and testing, which occurred in India. But in 2024, we'll see a little bit more hardware and a little bit more revenue that's not delivered from India. Is that right? Is that why the margin changed?
Jay Chandan: No. Let me break it down for you. Let me probably make it a little more detail. So first one is '23. So second half 2023, we actually did a lot of software development. That means we've used body services. These are -- I wouldn't say inexpensive. These are resources, which we are, allocating for the particular project. In fact, I think almost all the entire company was working on this. So our resource allocation will be slightly reduced for the first half of 2024 because we've already completed a lot of the development of the work for the customers. So when you look at percentage based completion, we are focused on now delivery. That does not mean our margins are going to go down. It's just that we have a mix of hardware and software in 2024. So our gross margins will be there at the 40-ish range 30 to 40-ish range. This year, it was purely software development services and very little hardware deployment at the first stage. And as you know, for every single project, there's a lot of work going in, when you actually start, kind of building the -- what we call the proof of concepts and the requirement analysis for the customer.
Operator: And your next question comes from the line of Brett Knoblauch from Cantor Fitzgerald.
Brett Knoblauch: I guess maybe just briefly touching on the working capital needs for 2024. Could you maybe just help quantify what you're looking or what you need externally to kind of fund working capital throughout the year? Or do you think working capital is going to be positive this year just based off what happened last year?
Jay Chandan: That's a good question. Hey, Daphne. Do you want to take this? I've been...
Daphne Huang: Yes. I was going to, Brett, it's good to have you on the line, obviously. The working capital, for -- until we get paid by the Egypt government, on the Egypt project, which will be later in the year, they typically pay once a year, we do have obviously very heavy, according to project, plan and schedule, procured power software, POs and delivery scheduled. So the short-term working capital pressure will be on for a few months. So the working capital fundraising plan, is will be as what we initially expressed, which will be -- we will look to raise additional funds to be able to pay the vendors before we get paid.
Brett Knoblauch: And then on the new kind of deal that you guys announced in Colombia, I don't know if you talked about it on the call, I might have missed it. But any insights into the size and duration of that contract and when maybe you'll start doing project on that or doing work on that?
Jay Chandan: Sure. I can take that, Daphne. So, Brett, once again, good to speak with you. The project is going to commence in May. We're currently doing a very detailed requirements analysis. Our team will be traveling to Colombia. They should be very happy. Columbia is a great place. Once they have traveled there, they will then do what is called as building the initial proof-of-concept, which should take roughly around 2 to 4 weeks. And then once they have completed that initial proof-of-concept that will then, be into a full budget deployment. We are hoping that it will close before the end of this year. The maximum, I mean, obviously, every project has its slippages. Our slippage is anticipated to a maximum of March of next year. But that's only for this particular thing. Just FYI, we have the entire Colombian government, including the mayor of Bogota, in our offices about 3 weeks ago. And I'm not exaggerating. There were, like, 20 plus people here. And I think what is important for them is that this acts as the test case. They have done a lot of projects, but they feel that they haven't gotten their money's worth. So they want to make sure the ROI and I talked about this earlier. Every customer now talks about ROI. What is my return on investment? And that's exactly what we're focused on. When we work with a customer, I mean, you wouldn't believe it, we actually create a model for him and present it to him and say, this is your investment. This is how you will gain from this. And whether it's a financial return or whether it's more kind of an economic return, we make sure that the customer actually benefits from this. And that's something very unique, and this is not just for the sake of this conversation, for the sake of this call, or just because I want my share price to pop. It is not about that. We're making sure that every customer, is successful and we take and call us old school. And that's what we're doing today. So, yes, your Colombian deal will probably expand into, I don't want to out a number to that, into a few tens of millions of dollars over the next 2 to 3 years for us. At least that's what is our focus on today.
Operator: [Operator Instructions] There seems to be no questions at this time.
Jay Chandan: Heidi, would you mind if I just make a quick statement? I know this is completely out of the blue, but I'd like to make a quick statement to every single investor who's listening to this call. I know a lot of them have had some very troubled times. Gorilla share price hasn't, actually, shown through. I know people have been through very miserable times with Gorilla stock, and I want to, first of all, thank every single investor. You've stood with me, by me, with us, thick and thin. And I'm personally, personally, personally thankful for every single one of you who's believed in Gorilla. I do take note. I follow every single one of you, and I know every single comment that comes my way. Do not ever think that I do not look at your comments. I know the shit people are talking about me, that's okay. But at the same time, I also want to make sure that believe in this business because I am in this business. I have also invested quite heavily. I am down as well. So I am in the same -- I'm on the same journey as every single one of you, and I'm asking for is believe in me, believe in my team, and we'll make this happen. Gorilla will be a successful story, and I absolutely will not rest till it becomes a success story no matter what anybody says. Thank you.
Operator: Thank you. We still have no questions in the queue.
Jay Chandan: If anybody's got questions, they can reach out to me personally as well or through Cody. Every single one of you will make sure that we can respond to you at any given point of time.
Operator: Thank you. If you're happy, this concludes today's conference call. Thank you for participating. You may now disconnect.